Presentation:
Operator: Good morning. My name is Liz and I will be your conference operator today. At this time, I would like to welcome everyone to GasLog Partners Fourth Quarter 2016 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. As a reminder, this conference call is being recorded. Today’s speakers are Andy Orekar, Chief Executive Officer; Simon Crowe, Chief Financial Officer; and to commence the call, Samaan Aziz, Investor Relations Manager. Mr. Aziz, you may begin your conference.
Samaan Aziz: Good morning. And thank you for joining GasLog Partners’ fourth quarter 2016 earnings conference call. For your convenience, this call, webcast and presentation are available on the Investor Relations section of our website, www.gaslogmlp.com, where a replay will also be available. Please now turn to slide two of the presentation. Many of remarks contain forward-looking statements. For factors that could cause actual results to differ materially from these forward-looking statements, please refer to our fourth quarter earnings press release. In addition, some of our remarks contain non-GAAP financial measures as defined by the SEC. A reconciliation of these is included in the appendix of this presentation. I will now hand it over to Andy Orekar, CEO of GasLog Partners.
Andy Orekar: Thank you, Samaan. Good morning and thanks to everyone for joining GasLog Partners’ fourth quarter earnings call. I’ll begin today’s call with our highlights for the quarter and an overview of our recent dropdown acquisition. Our CFO, Simon Crowe, will follow with a review of our financial performance, and I’ll conclude with an update on the LNG shipping market and our distribution growth outlook. Following our presentation, we’d be very happy to take any questions you may have. Turning to slide three, you can see our highlights since we spoke with you last quarter. Today, we expect to complete a follow-on common equity offering, raising total net proceeds of $77 million. The offering was met with strong demand from new and existing institutional investors and provides us with liquidity to fund another vessel acquisition in the first half of 2017. During the fourth quarter, we closed our acquisition of the GasLog Seattle, and on the back of this fleet growth, I’m pleased to report today we increased our fourth quarter distribution by 3% to $0.49 or $1.96 on annualized basis. This distribution increase is primarily due to GasLog Seattle’s accretive contribution to our fourth quarter results. As we completed this acquisition only midway through the quarter, Q1 will be GasLog Seattle’s first full quarter contribution to the Partnership. Accordingly, we plan to recommend to our Board an additional increase to approximately $0.50 per unit for Q1 2017, which would represent a 5% total distribution increase following the dropdown. Lastly, I’m delighted to report that in Q4, we achieved our highest-ever quarterly results for EBITDA and distributable cash flow, among other metrics, and our distribution coverage ratio remains conservative. Turning to slide four and more details on our recent acquisition. GasLog Seattle is a 155,000 cubic meter LNG carrier with tri-fuel diesel electric propulsion. This moderate and strategically attractive vessel was built in 2013 and has been operated by our parent, GasLog Limited, since its delivery. She is currently on charter with Shell through December 2020 and Shell has two five-year extension options. The Seattle is youngest vessel in our fleet, extends our average remaining charter duration and is forecast to generate $20 million in EBITDA and $10 million in distributable cash flow per annum. With the net purchase price of $188 million, the vessel was acquired at 9.4 times multiple of EBITDA and financed the proceeds from our August 2016 equity offering, plus the assumption of the vessel’s existing debt. With that introduction, I’ll now turn it over to Simon to take you through our financials.
Simon Crowe: Thanks, Andy, and good morning and afternoon to everyone. I am very pleased to report our highest-ever quarterly results today. Please now turn to slide five of the presentation. We had significant increases in revenue, EBITDA and distributable cash flow. This performance was primarily due to the acquisition of the GasLog Seattle and operational cost savings. We expect further revenue, EBITDA and distributable cash flow growth next quarter due to GasLog Seattle’s full quarter contribution. As such, for the first quarter 2017, we plan to increase our cash distribution per unit from $1.96 to approximately $2 per unit on an annualized basis. Please turn now to slide six. Looking back at 2016, we achieve strong year-over-year growth, despite significant energy and MLP market volatility. This performance highlights the durability of our cash flows and ability to execute acquisitions, despite market conditions. We expect 2017 to be another successful year as our substantial liquidity and dropdown pipeline provide significant visibility for growth. Turning now to slide seven. You can see that we continued to outperform our target coverage ratio. Our coverage ratio for the fourth quarter was 1.2 times, and this includes the units issued in our equity offering this week, which will receive our Q4 distribution. Next quarter, we would expect our coverage ratio to remain around the same level. Turning now to slide eight. You can see that following equity offering, GasLog Partners has cash of approximately $120 million and a strong balance sheet. We’re committed to our growth targeted of 10% to 15% CAGR since IPO, and we are well-positioned to finance additional growth and meet our guidance in 2017. As noted in our press release in November, the Partnership entered into interest swap agreement at a notional aggregate value of $390 million. As a result, the partnership has hedged approximately 50% of its floating rate exposure. We executed these agreements in anticipation of higher rates, and we achieved $4.2 million gain in the fourth quarter as rates moved higher. In summary, this has been a record quarter for GasLog Partners, and I’m pleased that following the announcement of my planned departure later this year, I’m leaving the Company in great shape. And thanks to all of you who have supported over the past few years, and I know that the Company will go from strength to strength. And with that, I will turn it back to Andy.
Andy Orekar: Thank you, Simon. Turning now to slide nine and an update on the market for LNG supply. This slide shows [the] nearly 150 million tons per annum of new liquefaction that has already taken final investment decision and is scheduled to come on line through 2020. We would note that every large scale project that was due to come on line in 2016, started up as planned and is now producing. These new sources of LNG supply should increase demand for shipping, and we continue to see tenders for long-term charters of vessels needed to transport volumes from these facilities. On the demand side, in 2016, we saw a 9% year-over-year increase in global LNG imports. China and India were the two primary drivers of this increase with China’s import increasing over 30% and India’s 29%. We’ve also seen several promising FSRU developments with seven new contracts awarded in 2016, demonstrating the growing demand for offshore re-gasification. Turning to slide 10 and a few comments on LNG shipping demand. This slides show Wood Mackenzie’s analysis of outstanding shipping requirement for projects that have already taken FID. The table shows that many projects or offtakers, still need to secure shipping from these volumes, including large U.S. projects such as Cameroon, Freeport and Corpus Christi. In total, Wood Mackenzie estimates approximately 50 additional vessels will be needed. Based on the expected new volumes and projected available tonnage, the shipping market should tighten significantly from today, as the growth in vessel demand is expected to exceed the growth in vessel supply. Given significant increase in LNG listings expected through yearend 2019, we feel confident there will be strong demand for our vessels with firm charters ending in 2018 and 2019. Turning now to slide 11 and our distribution track record. On the left hand panel, you can see that we’ve now grown our distributable cash flow per unit at a 13% compound annual rate since IPO. This strong growth in cash flow is due to our consistent operating performance with virtually 100% uptime across the fleet. Successful dropdown acquisition, continued OpEx efficiencies and meaningful debt repayment, such growth in cash flow has enabled us to continually meet our guidance and increase our distributions paid at a compound annual rate of 11% since IPO with a cumulative coverage ratio in excess of our 1.125 times target. Turning to slide 12. As we look ahead to 2017, GasLog Partners dropdown pipeline provides significant visibility for growth. The Partnership has right to acquire 13 modern LNG carriers, representing $270 million in total annual EBITDA. In 2016, our GP sponsor GasLog Limited continued to add attractive long-term charters with highly credit worthy counterparties such as Total and Centrica. These new charters increase the scale and diversity of our dropdown pipeline even as we add vessels up to GasLog Partners level. And we expect that our next dropdown acquisition will target one of the TFDE vessels you see on the slide, carrying a firm charter through 2023 or later. Turning to slide 13, and our distribution growth outlook. As mentioned earlier in the call, on the left hand panel, you can see that following the first full quarter contribution of the Seattle in Q1, we expect to grow our quarterly distribution approximately $0.50 per unit or $2 on an annualized basis. This represents 5% growth over our third quarter and an 11% compound annual increase since our IPO, which is very much in line with our growth guidance. Those who follow consistently know that we have consistently targeted 10% to 15% CAGR in distribution since our IPO three years ago and we met this guidance in every quarter as a public partnership. We continue to believe this guidance is achievable and are targeting a minimum 10% CAGR to achieve for, which will result in a distribution of $2.09 or higher by year’s end. With the proceeds raised from our recent equity offering, we have sufficient liquidity today to execute another dropdown in the first half of 2017. Such acquisition would support increasing our distribution above the $2 level and enable us to reach our minimum 10% CAGR target. In addition to common equity, we also believe we have access to alternative financing sources including preferred and private capital that could support further growth objectives. Turning to slide 14. In summary, for the fourth quarter GasLog Partners continues to execute on our growth strategy. We’ve delivered our highest-ever quarterly financial results following the acquisition of the GasLog Seattle. We’ve increased our cash distribution by 3% for the fourth quarter and expect to increase another 2% in Q1 for a total of 5% growth over our third quarter. With the proceeds in hand from this week’s equity offering and a 13-vessel dropdown pipeline, we are well-positioned to meet our target 10% to 15% compound annual growth and cash distribution for 2017. And finally, looking longer term, continued progress of new liquefaction supports the positive demand outlook for LNG shipping under long-term charters, and our GP sponsor continues to execute on several commercial opportunities that would add further vessels to our pipeline. That brings us to the end of today’s presentation. Before we turn to Q&A, I wanted to take a minute and thank Simon Crowe for his support and partnership as our CFO. We at GasLog Partners have accomplished a great deal since our IPO in large part with Simon’s efforts. His enthusiasm for our business will be missed. But Simon leaves GasLog Partners from position of strength and I’m confident that he will bring his many talents and expertise to his next endeavor. Operator, could you please now open the call for any questions we may have?
Operator: [Operator Instructions] Our first question comes from line of Chris Wetherbee with Citi. Your line is now open.
Chris Wetherbee:
Andy Orekar:
Chris Wetherbee:
Andy Orekar:
Chris Wetherbee:
Andy Orekar:
Chris Wetherbee:
Andy Orekar:
Chris Wetherbee:
Simon Crowe:
Operator: Our next question comes from the Jon Chappell with Evercore ISI. Your line is now open.
Jon Chappell:
Andy Orekar:
Jon Chappell:
Simon Crowe:
Operator: Our next question comes from Noah Parquette with JP Morgan. Your line is now open.
Noah Parquette:
Andy Orekar:
Simon Crowe:
Noah Parquette:
Simon Crowe:
Operator: Our next question comes from Ben Nolan with Stifel. Your line is now open.
Ben Nolan:
Andy Orekar:
Ben Nolan:
Andy Orekar:
Ben Nolan:
Simon Crowe:
Ben Nolan:
Andy Orekar:
Ben Nolan:
Simon Crowe:
Operator: Our next question comes from the line Spiro Dounis with UBS Securities. Your line is now open.
Spiro Dounis:
Simon Crowe:
Spiro Dounis:
Andy Orekar:
Spiro Dounis:
Andy Orekar:
Operator: Our next question comes from Michael Webber with Wells Fargo. Your line is now open.
Michael Webber:
Andy Orekar:
Michael Webber:
Andy Orekar:
Operator: Our next question comes from Gregory Lewis from Credit Suisse. Your line is now open.
Joe Nelson:
Andy Orekar:
Joe Nelson:
Andy Orekar:
Joe Nelson:
Andy Orekar:
Joe Nelson:
Andy Orekar:
Operator: Our next question comes from Ben Friedman with Morgan Stanley. Your line is now open.
Ben Friedman:
Andy Orekar:
Ben Friedman:
Andy Orekar:
Ben Friedman:
Andy Orekar:
Ben Friedman:
Andy Orekar:
Operator: [Operator Instructions] Showing no further questions in queue at this time, I’d like to turn the call back to Mr. Orekar for closing remarks.
Andy Orekar: Thank you, Liz. I just wanted to thank everyone today for listening and their continued interest in GasLog Partners. We certainly appreciate it and we look forward to speaking to you next quarter. Thanks very much.
Simon Crowe: Thank you. Thank you.
Operator: Ladies and gentlemen, thank you for your participating in today’s conference. This concludes the program. You may now disconnect. Everyone, have a great day.